Operator: Good day, and welcome to the Steel Dynamics Third Quarter 2024 Earnings Conference Call. [Operator Instructions]. Please be advised that this call is being recorded today, October 17, 2024, and your participation implies consent to our recording of this call. If you do not agree to these terms, please disconnect. At this time, I would like to turn the conference over to David Lipschitz, Director, Investor Relations. Please go ahead.
David Lipschitz : Thank you, Kelly. Good morning, and welcome to Steel Dynamics' Third Quarter 2024 Earnings Conference Call. As a reminder, today's call is being recorded and will be available on our website for replay later today. Leading today's call are Mark Millett, Chairman and Chief Executive Officer of Steel Dynamics; Theresa Wagler, Executive Vice President and Chief Financial Officer; and Barry Schneider, President and Chief Operating Officer. The other members of our senior leadership team are joining us on the call individually. Some of today's statements, which speak only as of this date, may be forward-looking and predictive, typically preceded by believe, expect, anticipate or words of similar meaning. They are intended to be protected by the Private Securities Litigation Reform Act of 1995 and should actual results turn out differently. Such statements involve risks and uncertainties related to integrating or starting up new assets, the aluminum industry, the use of estimates and assumptions in connection with our anticipated project returns in our steel, metals recycling and fabrication businesses as well as to general business and economic conditions. Examples of these are described in the related press release as well as in our annually filed SEC Form 10-K under the headings Forward-looking Statements and Risk Factors, found on the Internet at www.sec.gov, and if applicable, in any later SEC Form 10-Q. You will also find any referenced non-GAAP financial measures reconciled to the most directly compared GAAP measures in the press release issued yesterday entitled Steel Dynamics Reports Third Quarter 2021 Results.
Mark Millett: Thank you, David. Good morning, everyone. Thank you for joining our third quarter '24 earnings call. As you have read and seemingly many have concluded, our teams executed well through the quarter, achieving another solid financial and operational performance. Most gratifying to us to me, in particular, was achieving another great quarter for safety. The ramp-ups of our 4 new value-add flat-rolled steel coating lines have been an unqualified success with the expectation of full earnings benefit in 2025. These lines represent an additional 1.1 million tons of higher-margin product diversification for us. In Texas, despite a couple of challenges early in the quarter, the Sinton team gained considerable momentum, running at a 72% utilization rate of scheduled run time in September. We had extended periods in excess of 90%, and were achieved during that quarter. And I think it proves the mill's ultimate capability. Steel shipments were 3.2 million tonnes, third quarter revenues, $4.3 billion. Adjusted EBITDA was $557 million and cash flow from operations of $760 million. As I stated, we had a great quarter in terms of safety. Historically, the summer months can be a challenging period, but the teams reversed that trend this year with an excellent performance. Not only was that trend reversed that both our total recordable incident rate and lost time rates were the lowest in our history. Our employee dedication to our tape controller safety program is extraordinary. Our core safety teams visited 30 facilities in the third quarter alone, which is, I think, a clear testament to their commitment to keep each other safe. We continue to build a world-class safety culture and the positive results have been clearly demonstrated. 84% of our locations in the third quarter did not have a recordable injury. That's 104 locations out of our 124 and 94% of them did not have a lost time incident. I'm continually inspired by the commitment of our team members have for one another. They really truly consider themselves family and challenge the status quo every day to do better in every way. That's why we are so focused on providing the very best for the health, the safety and their welfare. That said, there's still a lot of work to do as we strive toward a 0 incident environment. But with that, I will pause for Theresa first and then Barry to add color for the quarter.
Theresa Wagler: Thank you, Mark. Good morning, everyone. We really do appreciate you taking the time to be on the call with us this morning. And I want to add my thanks to our teams for a really solid performance this quarter. As Mark suggested, our third quarter 2024 net income was $318 million or $2.05 per diluted share with adjusted EBITDA of $557 million. Third quarter 2024 revenue of $4.3 billion was below sequential second quarter results due to lower realized flat-rolled steel pricing tied to lagging contractual volume. Our third quarter operating income of $395 million, was 29% lower than sequential second quarter results driven by steel metal spread contraction as average realized pricing declined more than scrap raw material costs in the quarter. Our steel operations generated operating income of $305 million in the third quarter, lower than sequential results due to average realized pricing declining $79 and to $1,059 per ton, while total shipments were steady as increased flat-rolled volume offset lower structural and SBQ volume. For those of you that track our individual flat-rolled shipments quarter-by-quarter, in the third quarter, hot-rolled shipments were 942,000 tons. Cold-rolled shipments were 118,000 tons and coated shipments were 1,335 000 tons. For metals recycling operating income was $12 million, lower than sequential second quarter results due to lower realized pricing and volume. In addition, we had an unrealized noncash copper hedging loss of $10 million in September. We're the largest North American metals recycler processing and consuming ferrous scrap and nonferrous aluminum, copper and other metals, and we're growing in support of our increased steel and planned aluminum production investments through new and expanded relationships and through the use of innovative new separation technologies, I'm really proud of the team. They're also reducing operating costs very effectively. Our steel fabrication team achieved strong operating income of $166 million in the third quarter lower than second quarter results as a 5% decrease in realized pricing offset steady shipments. Order activity in the third quarter was the strongest we've seen this year, supporting our Joist Index backlog extending through the first quarter of 2025. As interest rates decline in public funding begins to be distributed post election and into 2025 and we expect to see increased fixed asset investment and corresponding demand drivers for steel and steel fabrication products next year. Regarding our aluminum investments, as a reminder, as we construct the aluminum facilities, non-capitalizable expenses are required to flow through SG&A until startup. As a result, our SG&A will be higher until we start operations in 2025. You have visibility to this amount provided in our supplemental data schedule for the third quarter, it was $24 million. We have expectations for aluminum investments to be EBITDA positive in the second half of 2025 and plan to operate the rolling mill at approximately 75% of its capacity in 2026. Mark is going to provide more details related to our ramp and product mix expectations later on the call as well as define our differentiated cost expectations. The construction of the rolling mill and the San Luis Potosi recycled slab center is going extremely well. Approximately $1.9 billion has already been invested through September of 2024, with expectations of funding between $350 million to $400 million in the fourth quarter and the remainder then to be spent in the first half of 2025. Our cash generation continues to be strong based on our differentiated circular business model and highly variable cost structure. During the third quarter of 2024, we generated cash from operations of $760 million. We ended the quarter with strong liquidity of $3.1 billion, comprised of cash and short-term investments of $1.9 billion and our fully available unsecured revolver of $1.2 billion. For the fourth quarter of '24, we believe capital investments will be in the range of $500 million to $550 million. Preliminarily, we believe 2025 capital investments will be in the range of $700 million to $800 million. We repurchased $970 million of our common stock year-to-date 2024, representing 4.5% of our outstanding shares and as of September 30, we have $486 million remaining available for share repurchases. Our capital allocation strategy prioritizes high-return strategic growth with shareholder distributions comprised of a base positive dividend profile that's complemented with a variable share repurchase program while we remain dedicated to preserving our investment-grade credit designation. Our track record has proven achieving 5-year after-tax return on invested capital of 24% during a period of transformational growth and strong shareholder returns. Our free cash flow profile has fundamentally changed over the last 5 years from an annual average of $540 million to $2.9 billion, excluding our large strategic Sinton and aluminum investments. In July, we successfully issued $600 million of investment-grade notes with a 10-year tenure in anticipation of repaying $400 million of our notes that are due this December. Before I conclude, I want to thank the decarbonization and biocarbon teams. I'm proud of them and excited about the recent announcement concerning our new certified science-based greenhouse gas emissions intensity targets for our steel mills, which are aligned with the 1.5-degree Celsius scenario set forth in the Paris agreement. In fact, our steel mills are already well ahead of that curve. We recently set both 2050 emissions intensity target, which is aligned with the International Energy Agency's net 0 by 2050 industry targets. And an interim 2030 target, which represents a 15% reduction in our greenhouse gas intensity. These targets were established using the Global Steel Climate Council's steel climate standard of which we are a founding member. The biocarbon project is also going incredibly well with expectations for a first quarter 2025 start. Sustainability is a significant part of our long-term value creation strategy, and we're dedicated to our people, our communities and our environment. We're committed to operating our business with the highest integrity. We uniquely have an actionable path toward carbon neutrality that is more manageable and we believe considerably less expensive that may lay ahead for many of our industry peers. Our sustainability and carbon reduction strategy is an ongoing journey, and we're moving forward with the intention to make a positive difference. Thank you. Barry?
Barry Schneider: Thank you, Theresa. Our steel fabrication operations performed well in the third quarter, achieving historically strong earnings and steady volume in the quarter. Our steel fabrication order backlog remains at a healthy level, extending through the first quarter of 2025. We remain optimistic as it relates to demand for the steel joist and deck markets over the next number of years. Based on a moderating interest rate environment, continued manufacturing onshoring, and public funding for infrastructure and other fixed asset investment programs. The uplift from this macro environment could be considerable for this platform as well as our steel operations. Our steel fabrication platform also provides meaningful volume support for our steel operations, which allows us to constantly operate at a higher through-cycle utilization rate. It also mitigates the financial risk of lower steel prices. The metals recycling team did a good job navigating a challenging marketing -- market environment in the third quarter. There were a number of domestic steel outages, which decreased ferrous scrap demand coupled with pricing volatility. Ferrous scrap prices have stabilized, and we believe should remain relatively stable through the rest of the year subject to seasonal moves. The North American geographic footprint of our metals recycling platform provides a strategic competitive advantage for our steel mills and for our scrap generating customers. Our Mexican recycling locations competitively advantage our Columbus and Sinton raw material positions. They also strategically support increased procurement of aluminum scrap for our future flat-rolled aluminum operations. Our metals recycling team is partnering even more closely with both steel and aluminum teams to expand scrap separation capabilities through process and technology solutions. This helps mitigate potential prime ferrous scrap supply issues in the future. It also provides us with a significant advantage to increase the recycled content in our aluminum flat rolled products and increase our earnings opportunities. The steel team also had a solid quarter, achieving steady shipments of 3.2 million tons. During the third quarter of 2024, the domestic steel industry operated at an estimated production utilization rate of 78% while our steel mills operated at a rate of 86%, excluding our Sinton operation. We consistently operated at higher utilization rates due to our value-added steel product diversification, our differentiated customer supply chain solutions and the support of our internal manufacturing business. The higher through-cycle utilization of our steel mills is one of our key competitive advantages, supporting our strong and growing cash generation capability and best-in-class financial metrics. Our realized average flat-rolled steel price declined in the quarter due to contract lags, but prices stabilized and improved in the quarter. Positively, value-added flat-rolled steel pricing spreads remained resilient, supporting our earnings as we are the largest producer of these products in North America and growing. Our activity is solid heading into the fourth quarter with normal seasonal trends expected, in general, our flat-rolled steel mill lead times are actually at levels higher than we've seen over the last 6 months. Underlying steel demand remains steady, but a surge in steel imports put pressure on the supply dynamics in certain product areas, specifically for coated flat-rolled steel products. In response, we levied a trade case, and we expect to get a preliminary ruling from the ITC in a few weeks. Our Sinton, Texas, flat-rolled steel mill team successfully completed needed changes early in the quarter to access 100% of the mills north capacity. The team experienced some difficulty ramping back up after the outage. However, the reliability of the mill improved dramatically in September, and the company believes Sinton's product utilization rate will increase around 75% for the fourth quarter of 2024. Also, the additional 2 new value-added coating lines were successfully commissioned and have commenced operations, improving the mills value-add product mix and through cycle earning capability. Regarding the steel mill market environment, North American automotive production estimates for 2024, where we recently revised to stable production over the next several years. Automotive dealer inventories also continue to remain below historical norms. Nonresidential construction remained stable with slowdowns across some industries. However, we believe moderating interest rates will unlock pent-up project work and create new opportunities in 2025. Additionally, onshoring and infrastructure spending should provide further support to fixed asset investment and related construction oriented products. As for the energy market, the solar industry continues to grow and be a meaningful part for both our Flat Rolled Products and structural sections. Oil and gas also remained steady. Looking forward, we are optimistic regarding steel demand and pricing dynamics as we end 2024 and get ready to enter 2025.
Mark Millett : Super. Thanks Theresa. Thank you, Barry. Well it's more than evident that our performance-driven employee-centric culture in combination with a proven highly diversified value-added business model drives superior through-cycle financial metrics. Our consistently strong operating and financial performance continues to support our cash generation and growth investment strategies, allowing a balanced cash allocation strategy that has consistently delivered best-in-class shareholder returns. For instance, our investment strategy achieved a 3-year return on invested capital of 32% from '21 through '23 compared to only 12% per the S&P 500. And our disciplined high-return investment approach continues. As I said, the 4 value-added flat-rolled steel coating lines are increasing volume and performing very well from a quality perspective. These types of high-return investments are key to our value-added product and supply chain differentiation strategies. As I mentioned also, Sinton continues to improve its operational reliability, with expectations for strong production capability in 2025. Our recent aluminum growth strategy is especially compelling. The market environment in aluminum is not unlike the steel industry was when we started SDI 30-plus years ago. It has older assets, heavy legacy costs, a lot of the facilities are inefficient and high cost, and they've had -- the industry in general has had a difficulty in earning the cost of capital. And hence, there's been little investment in facilities and new technologies in recent years. But unlike our steel entry, the one huge positive is that the -- there's a significant deficit in aluminum, just in North America in general. And that deficit is expected to grow considerably. There's a clear business alignment, they leverage our core competencies. Core competency of construction and operational know-how. And one only asked to look at the drone video on our website to see the extraordinary progress the team has made to constructing the new mills. It also will leverage our performance-driven culture, driving higher efficiency and lower cost operations. It also level Omni's recycling footprint. As Theresa suggested, we're the largest North American aluminum scrap recycler. And we also are developing some in-house new technologies to separate the 5,000 and 6,000 series alloys. It's a very, very cost-effective and a high-return growth opportunity for us. Construction of the expansive rolling mill in Columbus, Mississippi, as I said, is proceeding at an extraordinary pace. And I believe the aluminum industry is now recognizing that we truly will be a force to be reckoned with. The future customer base across all sectors is excited to have a new market entrant that is known to be innovative, customer-centric and responsive to their needs. Commercial arrangements are being put in place to match an order book to our ramp-up needs in 2025. Responses from existing and new customers across the markets remains incredible as the first for new supply. As in Sinton, we are developing an on-site industrial part to locate aluminum processing and consuming facilities. The arrangements are currently being negotiated that would create approximately 100,000 tons of annual tonne of processing capability per year. And as our project has become a visible reality and our reputation permeates the aluminum industry, aluminum professionals have been knocking at our door. And we've been building on a phenomenal team with an in-depth knowledge of aluminum operations, commercial markets, process technology and customer service. For those that may not have heard in our last call, the scope of the facility. It's a state-of-the-art 650,000 metric tonne a year aluminum flat road facility located in Columbus, Mississippi. We'll have an optimized mix of 300,000 tonnes of can start, 230,000 tonnes of auto and 130,000 tons of industrial and construction products when we're up fully running. The actual site in Columbus, Mississippi has a melt cash and lab capacity of 600,000 metric tons, and it's going to be supported by 2 satellite recycled aluminum slab casting centers located in UBC scrap rich regions. We expanded the project scope to include, as I said, additional scrap processing and segregation technologies to maximize aluminum recycled content. These in-house developed technologies are currently operating successfully separating the 5000 and 6000 series alloys on a commercial basis every day. The team plans to begin production of slabs in San Luis Potosi, Mexico, in the first quarter of 2025. We will commission the Columbus cash outs in the first quarter, downstream lines in the second quarter, with commercial shipments in mid-2025 and that is absolutely on schedule. In 2025, we plan to begin production with a product mix weighted to industrial and construction products as we qualify our Can sheet in 25 and auto products into 26. We anticipate production to grow to 50% of our annual rate by the end of 2025 and expect 75% capacity in 2026. The project is expected to add $650 million to $700 million of through-cycle annual EBITDA, and we should generate approximately $40 million to $50 million through the resegment platform in addition to that. Although this computes to a higher EBITDA per tonne than the industry has experienced in the past, we're confident in that projection. And the most significant savings are in 4 key areas: labor, recycled content, yield and logistics. Labor, we should have a reduced workforce of perhaps 700 to 750 people versus perhaps 1,200 or more in a conventional facility of this size. We have optimized plant layout and material flow. We'll have a centralized automated storage system, so there'll be no touch from slab to truck and our proven performance-based incentive-driven culture will drive high productivity, high efficiency and low cost. And we will have no legacy costs. So for those who dare the impact, I would just ask you to look at what our teams have done throughout our steel operations over the years. Recycle content. Again, we will lever our metals recycling platform to drive higher recycled content. We have the largest nonferrous operations, recycling operations as has already been stated. -- we also have a secondary aluminum facility that has been operating for many years that will be additive. We're locating satellite facilities close to the UBC rich areas to the west and in Mexico. And again, leverage the sorting technologies. The yield will be improved. We do believe it's going to be a new facility, state-of-the-art equipment and technologies. The scalping technology is absolutely state of the arm and will minimize material removal. And we're actually processing through the facility supersized coils, produce less heads, less tails, less line stops, all adding to lower yield losses. In logistics, again, locating slab centers close to rich areas will be a huge benefit as well. So the excitement within our company and particularly at the ADI sites, continues to grow as our teams recognize their ability to help revolutionize the U.S. aluminum industry as they did in steel. We're impassioned by our current and future growth plans as they will continue to drive the high return growth momentum we have consistently demonstrated over the years. The earnings growth of these new projects is compelling. The capital spending for Sinton, the 4 value ad lines and aluminum dynamics is approximately 85% complete with an estimated collective future through-cycle annual EBITDA contribution of over $1.4 billion. As a prominent institutional portfolio manager recently pointed out to us, Steel Dynamics has grown to an incredibly resilient cash-generating business, driven by the best teams in the world. We said in the last 5 years, you've invested billions of dollars in organic strategic growth. You earned a return on invested capital of 24% compared to the S&P 500 at only 12%. You've increased your cash dividend over 90%. You repurchased over 30% of your outstanding shares or the while maintaining best-in-class investment-grade credit metrics. We said it's better than a textbook capital allocation lesson. And obviously, somewhat biased, I agree. And I'm excited as investors recognize the power and consistency of our through-cycle cash generation, combined with our consistent and high return capital allocation strategy. And it's our belief that the steel industry has undergone a paradigm shift in recent years, a shift that will further support our earnings profile. There's a pervasive sense of mercantilism, which will provide a level plan field through continued and appropriate trade relief. We have COVID-driven supply chain dislocations, which have accelerated reinsuring of manufacturing. Decarbonization should materially steepen the global cost curve, providing SDI a huge competitive advantage to gain market share and increase metal spreads as our mills have some of the lowest carbon footprints in the world. AI and cloud computing should support nonresidential construction through data center buildout. And there will be growing fixed asset investment driven by the inflation reduction chips act and other public monies. In turn, with the interest rates moderating, demand will be strong, we do believe going into and through 2025. So in closing, we've been blessed with good fortune and our people are our foundation. I thank each of them for their passion and their dedication. We're committed to them. And I remind those listening today that your safety for yourselves, your families and each other is our highest priority. Our culture and business model continue to differentiate our performance leading to best-in-class financial metrics. We're an integrated metals business, providing enhanced lower carbon supply chain solutions to our customers. in turn, mitigating volatility in our cash flow generation and providing enhanced shareholder returns and value to all participants. We truly look forward to creating new opportunities for everyone today, tomorrow and in the years ahead. So with that said, we will open up the call to questions.
Operator: [Operator Instructions]. Your first question is coming from Martin Englert with Seaport Research Partners.
Martin Englert: You briefly touched on this in the prepared remarks, but for the greenfield aluminum project, are there any other key personnel additions that are still needed. And could you just more broadly touch on the general labor market and how you found the process of filling the needs there.
Mark Millett: Certainly, I think the there are no key folks or talent needed from a skill set of experience. We are pretty well built out, but we will always, always talk to anyone who wants to join us. So the management team, I think, is absolutely solid. It's a blend, a combination of seasoned aluminum folks, managers, leaders alongside our SDI proven leaders, and so you'll get the blend of aluminum experience and knowledge base with the cultural performance-driven sort of passion that we have within Steel Dynamics. So I'm incredibly, incredibly impressed by the team. It's actually a much better location and finding talent is not an easy thing nowadays, but compared to the challenges that we experienced in Sinton I think it's a much, much better location. Fortunately, we have one of our large flat rolled steel facilities right across the road. That's allowing again a transfer of people at all levels. And they can transfer over without moving the families and dislocating their lives. And so that is a huge benefit for us as well. So no, we're excited by the team there.
Martin Englert: Excellent. If I could, one last one in steel fabrication with more recent sales that you've had that have been added into the backlog over the past month or 2, are you seeing any pockets of pricing strength relative to where you had been?
Theresa Wagler: Martin, I would suggest that heading into the fourth quarter, we're going to see that normal seasonality that you typically see in anything that's tied to construction. But as we look at 2025, we definitely think that there's opportunity for not just price support, but price appreciation as we've talked about interest rate changes and additional demand coming from public funding, et cetera. So we're feeling really good with the steady aspect of what we've seen in the last 6 to 9 months. And now we'll just get through the fourth quarter seasonality and then head towards what we think is going to be a really robust 2025.
Operator: Your next question is coming from Katja Jancic with BMO Capital Markets.
Katja Jancic: Right now, 80% of your business is contractually based. Does that change with further symptom ramp up? Or should we continue to see about 80% contractual?
Barry Schneider: Katja, this is Barry Schneider. Contractual relationships are a big part of our value-added supply chain solutions. So as we've increased our paint lines and our coating lines, it keeps that concentration about in that 70% to 80% range. We anticipated this growth with our new lines. So I would see us being in the same kind of market, perhaps a little bit less in the future once we get the established customer bases and work out the supply chains in each region.
Mark Millett: Just to clarify, I think you recognize it, but the 80% contractual is on the flat rolled side of our business. We obviously have a whole bunch of other stuff being a very, very diversified provider, which is more in the kind of the spot day to day.
Katja Jancic: Okay. Maybe just one quick one. Barry, I think you mentioned that Sinton had a bit of a challenge starting up after maintenance, if I'm not mistaken. What was the issue there?
Barry Schneider: Just whenever we work with high-voltage systems, you have kind of a normal making sure everything is safe as you ramp up. So having the team – the outage was about 4 days. And it was just a little bit slow to get back up to regular running rates. It’s not unheard of in our industry. It was just worth noting because we did so much work. The team was really resolve some of those high-power problems we’ve had from the beginning, and we safely were able to do that. So all in all, I consider it a good outage the team did very well. But it wasn’t like turning a light on and off. It’s just a little bit more complicated with that high voltage.
Operator: Your next question is coming from Tristan Gresser with BNP Paribas Exane.
Tristan Gresser: First one is just on the increase in spreads in metal spreads for your long portfolio. Where did you see more strength? And maybe if you can discuss a little the differentiated outlook for your structural or shape or whatever drove that strength that would be appreciated to get your perspective on your loan product business.
Barry Schneider: This is Barry. The scrap that we're able to move to our mills from the metals recycling platform is really beneficial because we find the best value and the timeliness of our supply chain allows us to really optimize that. So having the right material at the right time is essential for that business to really to get the value from it. As we look specifically at long products, our structural and heavy section mill in Columbia City is not just a heavy section mill, is also a railroad -- the largest railroad producer in the country. So we have a nice balance of where we tend to move our products. So as the markets tend to change over time, we're always able to optimize into the right product mix for the opportunity and make sure that we keep our regular customers invested and they understand what we're doing. So having that diversification of product across all of our business is essential when we're looking at how we're moderating quarter-to-quarter with the natural flow of business. So long products remains very resilient. We're excited about the opportunities that we see coming, particularly with the investment and reshoring opportunities.
Tristan Gresser: All right. That's helpful. And maybe a follow-up just on the update carbonized trade case you mentioned and the potential impact of that. I understand Vietnam being part of the investigation, but I think there has been a push to include certain countries like Canada and also Mexico. And given your exposure to Mexico, can you explain a little bit the rationale behind including those countries in the investigation?
Mark Millett: Yes, sir. The – there was actually 10 countries involved in the investigation. And each of those countries, there was very demonstrative increases in the actual tons that have surged through those various countries into American markets and the necessity of including Canada and Mexico, was because of the volume of tons that are coming through those countries. The U.S. MCA is a great treaty that we all enjoy. We do good business based on that. In that agreement, there is provisions to do just what we did, which is engage the ITC for antidumping and countervailing duties cases, the numbers are staggering. And in many cases, these tons are not melt to report in those countries, but they’re flowing from some of the other countries listed. So as there’s problems in Asia, that puts pressure on that part of the world, and they all want to flow to our shores. So this mechanism is expensive, it’s lengthy, but it’s necessary to make sure that the competitive markets that we have in our United States are truly fair trade. So I think the process will render out what the appropriate duties are in each country. And if there truly was less damage for some of those countries, the final tariff amounts will reflect that. So it is something that was absolutely necessary. And as we watch, we don’t ask for handouts or protection. We just ask for a fair field to play the game on. And this is all part of that process.
Operator: Next question is coming from Carlos Diaba with Morgan Stanley.
Carlos de Alba: Maybe continuing with the conversation on the antidumping case. Somewhat related, the spread between galvanizing steel and cold-rolled coil has been depressed, you low level is probably not economical. If the antidumping investigation doesn't go your way, or even if you don't see a big improvement if it does, what is the dynamics as a leader in this sector prepared to do to maybe enhance those spreads?
Barry Schneider: Carlos, this is Barry again. We do anticipate great success with these trade cases, especially with certain of these countries that were the most egregious offenders, but we routinely evaluate how we move our flat rolled products through our process lines. So we routinely move hot rolled all the way through the process into galvanized and painted. We make those decisions about where the margins are. So we've been having very good success in dealing with these pressures over the last 12 months. And you can see from our earnings results that we're finding a solution to the problem. It has to do with -- we have so much diversity in our product mix that we respond to where we can go and be safe. So I believe the ITC will come back favorable, particularly with some of the more egregious offenders and that does create an opportunity for us to go balance into a more a product mix that is more perhaps friendly to those times.
Carlos de Alba: If I may squeeze another one...
Mark Millett: If I could just add, you've heard us say before, we don't manage to hope nor do we manage and make strategic decisions based on, we think, trade or policy of any nature is going to go one way or the other. You have to take control of your own destiny. And I think the teams year-over-year do an absolutely phenomenal job further diversifying our product mix. I think I don't know what the recent number is 65%, 70% of our flat-rolled product mix, 65% is value add. And when we say value-add, I'm talking about really value-add. When you get into prepaint and you get into the coating developments that the teams have achieved. And most recently, they've got into this digital print stuff that literally is absolutely phenomenal. Wood grains for the Garage Door, folks and architectural. You just have to have innovation and creativity continuing to drive up the product mix. So no matter what happens, we will succeed and no matter where the trade goes, to be honest.
Theresa Wagler: And the thing that Mark and Barry talked about, but without saying the exact words, the supply chain differentiation that we have. with all the products that you just spoke about. And so that's the key for us.
Carlos de Alba: Right. Just if I may squeeze another one on the sea fabrication business. Any further details on pricing? I think Barry, maybe I missed this, but I think Barry talked about stable pricing from current levels from what you saw in the third quarter. But any further color there or on volumes, how you expect that going forward?
Theresa Wagler: Yes, Carlos, thanks for the question. But again, we’re pretty consistent. We won’t talk about pricing and commercial things as it relates to that. The commercial team they would be outside my door and they’d be ready to do bad things. So we can’t do that. But from a volume perspective, we do expect regular seasonality here in the fourth quarter as it relates to the construction-related businesses, which deal fabrication is one. But we do expect to see much stronger volumes next year, which should support pricing as well.
Operator: Your next question is coming from Lawson Winder with Bank of America Merrill Lynch.
Lawson Winder: And thanks for the update today. Barry, maybe I think this question would be best directed to you. Could you just walk us through the path from 72% utilization at Sinton in September to your optimal utilization. What is that optimal fully ramp utilization? And what are the remaining bottlenecks and steps to resolve that? And if possible time lines when you hit that number?
Barry Schneider: Yes. Lawson, I'll try to articulate why we have confidence in what the Sinton team is doing. And the first major thing is reducing the unplanned downtime. So when things happen, as the teams not only develop themselves as teammates, but also as competency develops, they're able to address issues that they occur. So we've been making significant strides at reducing the unplanned downtime. Necessary to make that happen is improving the reliability of the equipment in the plant. As you may know, our flat-rolled steel mills are actually coupled units where we go from the furnace to the hot rolling mill as one coupled unit. And to make that happen as various parts of the system have normal issues, it can impact the other units. So what we're seeing now and we've seen days, we've seen weeks now we've seen months of continuous reduction of unplanned downtime, better reliability of the equipment, and also just as important, making sure that all the products that are actually being produced are able to get to higher value destinations through the mill, whether it's selling it as hot rolled, cold-rolled or coated products. So as we see each of the units in the mill respond, we see the uptime increasing. We see the yields getting better and better. And as we start controlling the cost situation, we see a very good path towards this facility running well. We have had weeks that we're nearly at capacity. And that, again, is more reasons we have confidence in what we see. So we see kind of the watershed moments happening under our feet. We anticipate fourth quarter to finish strong, and it really sets the stage for 2025 to really allow this facility to show the stakeholders what they've been doing and how well they've been earning it down there. I hope that helps.
Lawson Winder: Yes. The color is definitely helpful. And then maybe if I could, just a follow up to that, I think it's probably directed toward Theresa I mean when you think of Sinton now kind of being there or close to being where you need it to be and you look at the dividend consideration for February. Could we anticipate that the dividend increase in February might be more material than we've seen more recently? And then how will the aluminum dynamics start up factor into that decision effect.
Theresa Wagler: That is a very good question, Lawson, a very tricky question. So the Board is who determines what the dividend will be, and you’re correct. We like to keep a positive dividend profile that generally happens in the first quarter of each year. And I would anticipate the same absent any extraneous things occurring this year as well. We do expect to have certain significant EBITDA contributor next year, which it hasn’t been up to this point. So that’s a significant change in the earnings profile. That being said, we’d like to see how Sinton operates in 2025. So I would expect to see a positive dividend move, but I can’t really speak to the magnitude of that at this point in time. As it relates to the aluminum assets starting in 2025, very excited about that. As I mentioned in my prepared notes, we do expect those investments to be EBITDA positive in the second half of 2025, which is pretty extraordinary. So we’ll really start to see that benefit 2026. So I would think that would generally be kind of a time frame to think about how that contributes to through-cycle cash flow and positive possible dividend moves.
Operator: Your next question is coming from Timna Tanners with Wolfe Research.
Timna Tanners: I wanted to probe a bit more of the status of the value-add lines ramp up, ramping up the 4 lines between paint and coated galv. Just looking at the volumes, it wasn't clear to me like what utilization you have those lines at and what we might have yet to see play out as they ramp up.
Barry Schneider: Timna, this is Barry. The line -- all 4 of the new lines we added are actually operating at somewhere around 65% to 75%. As we discussed with the trade cases, we've seen some pressure in certain coated products, particularly Galvalume. So we are trying to make sure we're efficiently running those lines and making sure we don't waste money by operating it at levels that perhaps we could do with the existing lines. So what we look at is the ability to really allow each line to do the proper product mix to be very efficient and to be very good yields. So we're really excited with what we've seen. The Terre Haute operations are definitely improving the opportunity for that facility to reach more markets, diversifying that product mix there by adding a second coding opportunity with Galvalume and with the prepaying opportunity. has really opened up relationships with new customers as well as existing customers who needed those products in that region. And at Sinton, the additional lines really allow us to have a more efficient operation between our galvanized coatings and our Galvalume coatings. So it might be a bit technical, but we're really excited how the lines perform. The quality itself has been very good. And that is difficult with these type of products. These are -- a lot of this new capacity is prepainted markets, which have very demanding customer base. So we've been really excited to see how the teams have responded and the sales team continues to bring new opportunities to the mills to [indiscernible].
Theresa Wagler: Timna, as it relates to their contribution to earnings, I would say that, that really hasn't been significantly impactful up to this point. So as a reminder, the 4 lines were about a $600 million investment. And generally, the paint and galvanizing lines for us, given our supply chain differentiation have a payback period of anywhere between 2 and 3 or 2.5 years. So pretty significant. You're going to start to really see their impact in 2025, I think as everything gets ramped up.
Mark Millett: And just one follow-up thought at Sinton. Obviously, the volume throughput on those lines is a little inhibited right now because the hot side not being at full capacity. So as you see, as we increase the throughput on the hot side, the volume through those 2 lines down there will increase in tandem.
Timna Tanners: Okay. That's really helpful. So for modeling purposes, if we look at the, what, $1.3 million plus tons in the quarter of galvanized that represents about -- or galvanizing coated, that represents about 65% of the new capacity ramping up. So we have yet to see that remaining 1/3 or so flow through, and we would expect that conditional to the imports coming off. Is that fair?
Theresa Wagler: So in that coated number, it’s not just our lines that you’re seeing Timna. And no, it wouldn’t show like shipments of that – at that rate because you also have our our United Steel Supply and you have other processing facilities rolling through that that aren’t really included in a lot of the benefit of the additional volume in the third quarter actually came through different avenues. So there’s – I think – I would suggest there’s more volume that still the benefit. It’s not just a 1/3.
Operator: Next question is coming from Bill Peterson with JPMorgan.
Bill Peterson: Maybe following up some of the questions around utilization and also run the last question, too. Can you help us understand if Sinton's profitability meaningfully improved in the third quarter. I think it was around breakeven in the second quarter. And then on the 4 new coating lines, are these profitable yet? And I guess obviously related to some of the trade questions you were answering earlier, but if they're not, when would you expect them to be profitable?
Theresa Wagler: So from the perspective of Sinton, No. In the third quarter, because we had additional outage time that Barry actually mentioned and because we had additional maintenance costs related to that. Sinton wasn't EBITDA positive in the third quarter, but we have full expectations that it will be in the fourth quarter and certainly next year. As it relates to the lines, they're really integral into the operations of the steel mills themselves. So to answer that question a little bit difficult. Again, I would tell you, as Mark mentioned earlier, Barry and now I will for a third time, we expect the value-add lines to really benefit 2025. So as you think about your modeling, I would add that as an additional benefit for us that's outside of just normal market dynamics.
Bill Peterson: Great. And on sort of the lower carbon items, and thanks for providing the color there. It looks like on the biocarbon project in particular, it looks like it's going to be a few quarters before operation. But what means to be done before operational start? And then I guess, when do you plan to introduce internally produced biocarbon into your steel production flows? Do you have -- is there -- I mean, is there a need for customer commitments for the products with this biocarbon or you do expect the premium for products coming using that product?
Theresa Wagler: That's a good question. I would hope to have a premium, but Barry's laughing at me. So the biocarbon facility, the team is doing a great job. It's still under construction. And again, everything is pointing toward a first quarter 2025 start. We will have that product. It's already been fully tested at each of the steel mills that we'll be receiving it. We don't have enough product to satisfy all of the carbon needs at our steel mills, but a majority of it, so we'll start using that and easing that into the product mix for the steel mills as we enter the first half of next year. As far as whether or not there's premium charged to that product, that's just going to be part of our decarbonization journey. So it's going to be used as a matter of whether -- it's not for a specific customer necessarily.
Mark Millett: Yes. Theresa, I would just add on that, that we don’t need customer approvals for this product. It’s so early in the process that the use of what kind of carbon doesn’t factor into what the final steel product will actually how it will perform. And I would think of it as it’s not a binary decision or it’s one or the other. So the path towards introducing this to the mills will really flow based on how the startup goes in the proximity and how the teams respond to it. The trials that have been done have been very successful through the Aymium pilot facility. So we have a good working knowledge going into this. And the melt shop teams are regularly meeting with the biocarbon team. And we’re excited about it. It’s a beautiful plant down in Mississippi.
Operator: Your next question is coming from Andrew Jones with UBS.
Andrew Jones: Just on the market range environment. I mean we hear the comments we've made on the positive outlook and potential for demand to recover. But just in a more pessimistic, Mark you are aware that doesn't happen, Big River 2 starts to come through. Maybe you don't get the same trade protection that you are hoping for. I mean -- what would you consider doing within your portfolio to kind of do your bit to help to balance the market? I mean, would it change your production plans in any way? Or would you be an active participant in trying to write the market? Or do you see as just a low-cost producer and you can essentially take share and expect others potentially draw out at the higher end of the curve, how do you look at 2025 in that more pessimistic store?
Mark Millett: Firstly, we're not pessimistic. We're very, very constructive on the future market in 2025. There are too many things there that will drive that. And our customer base, in general, our customer base is very, very positive for '25. You should have a lower interest rate environment that will kick start nonresidential construction. New Millennium right now, the order book, the order -- the engineering, the whole flow of things is strong. It just needs a slightly lower interest rate environment for those developers to push buttons and move forward. So again, I just want to emphasize, we're constructive on the marketplace. Just in general, and it's not a matter of 2025 or it's just a matter of any market cycle. We will produce to what our customer base requires quite simply.
Andrew Jones: Okay.
Mark Millett: Sorry, if I can, just -- and I think one has to recognize part of our whole business model, it revolves around just that. We recognize that the markets are cyclical in our business. And so over the years since the very beginning, 30 years ago, we have always focused on a very diversified product mix. That product mix is value add, very diverse across actual products, but also markets. That allows you a huge, huge, huge flexibility as markets ebb and flow. A very, very strong part of our strategy has always also been the pull-through volume. So if you look today, New Millennium, they consume about 600,000 tonnes, I think, what they're about last year, maybe a little bit more of the products that we make. The conversion facilities at Heartland. They've got roughly 800,000 tons of capability. You have the tax, they have about 800,000 tonne capability. So in all, our internal sort of substrate requirements is well over 2 million tonnes. We supply some of that internally, but Barry and his team also procures a lot in the marketplace. So we're actually one of the strangely, and a lot of people don't recognize it, but we're one of the largest buyers sheet products in the U.S. today. That pull-through volume can flex. So if you look at our utilization rates through cycle, those utilization rates are always superior to any of our peers because of the value-add diverse product mix and also the pull-through volume that we have internally. So even if it does come off a little bit, you will see that we retain our strong cash recycle cash generation capability without that.
Andrew Jones: Okay. Fair enough. But no major closures of higher cost lines or older lines or any sort of reaction to kind of volumes potentially displacing volumes [indiscernible] else in the portfolio, that's not on the agenda.
Mark Millett: I didn’t hear that.
Theresa Wagler: That’s okay. You would say no. No.
Operator: [Operator Instructions] Your next question is coming from John Tumazos with John Tumazos Independent Research.
John Tumazos: Looking out a couple of years, which sectors do you think are most fertile for the next big investment. This year, U.S. aluminum demand is trending up 5%. Steel has been down in apparent demand 5 out of 6 years now. Lots of companies have built a lot of steel capacity. Did we expect that aluminum or recycling or some other new area is the candidate for the next big project in 2026 or '27 or '28.
Mark Millett: Well, firstly, John, we will always take your questions, sir. The – as I look across the – our portfolio, we’re not strong on the recycled markets just in general, where there are regional focused opportunities to vulcanize our supply chains. We certainly will anticipate that or look at that. But I think we have a good recycle sort of platform. You will see us grow here and there to expand our aluminum supply chain. But that’s well, it won’t be meaningful dollars to do that. On the steel side, I think you’re correct. I don’t see the opportunity necessarily for another 3 million tonne a year greenfield site. We’re not – as you know, we’re not in business just to grow big for the sake of it. We want to differentiate our value chain. We want to always sort of diversify. – that the team has identified several value-add opportunities, products that we don’t make today. And those are sort of percolating in the background and you’ll see over time us continuing to lever those higher-value products. Aluminum is obviously new to us. We want to walk before we run. Get the first mill up. But there’s no doubt the volume growth in aluminum going forward will be much stronger than steel and gives rise to opportunity there. As you’ve seen strategy in the past in steel, the move downstream again into value-add products in aluminum, capitalize on prepaint expertise. I think you will see that also.
Operator: That concludes our question-and-answer session. I would like to turn the call back over to Mr. Millett for any closing remarks. Well, super. Well, for any of our employees and our teams out there that are still on the call, thank you. Thank you. Thank you for what you do. You're an incredible, incredible team doing incredible things. We can't do what we do without a loyal customer base. And again, thank you. Thank you. Thank you for your support over the years. We will continue to try and bring value and create value for you. Shareholders that are on the line that own us, thank you. Those investors that don't own us, all I can say is you should. So from SDI and every employee. Thank you for all those that support us. Have a great, great, great day and be safe.
Operator: Once again, ladies and gentlemen, that concludes today's conference call. Thank you for your participation, and have a great day.